Operator: Good morning, ladies and gentlemen. And welcome to the Trustmark Corporation’s Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation this morning, there will be a question-and-answer session. (Operator Instructions). As a reminder, this call is being recorded. It is now my pleasure to introduce Joey Rein, Director of Investor Relations at Trustmark.
Joey Rein: Good morning. I’d like to remind everyone that a copy of our third quarter earnings release, as well as the slide presentation that will be discussed on our call this morning is available on the Investor Relations section of our website at trustmark.com. During the course of our call this morning, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We like to caution you that these forward-looking statements may differ materially from actual results due to a number of risks and uncertainties, which are outlined in our earnings release and our other filings with the Securities and Exchange Commission. At this time, I’ll turn the call over to Gerry Host, President and CEO of Trustmark.
Gerry Host: Thank you, Joey and good morning all. And thank you for joining us. I’d like to point out that also joining me this morning are Louis Greer, our CFO; Barry Harvey, our Chief Credit Officer and Tom Owens, the Bank Treasurer. Let’s start by looking at our third quarter highlights, which starts on page 3 of the presentation material. We are pleased to report another quarter of solid financial performance. For the six consecutive quarters, our legacy loan portfolio experienced an increase in balances, a 2.4% increase for the quarter or an annualized rate of 9.6%. Our acquired loan portfolio continues to perform well, as cash flow estimates have continued to improve and yields on acquired loans have increased. In fact despite loan run-off, interest income on acquired loans remained stable at $23.2 million. Credit quality experienced improvements, as other real-estates declined quarterly and year-over-year, as well as recoveries exceeded charge-offs resulting in a net recovery of $428,000 for the quarter. Our efficiency ratio improved to 62.8% as a result of lower ORE expenses. Continued improvement will be an ongoing area of focus. Total revenues remained stable at $149 million even with $2.6 million reduction in interchange income. As you may recall, we exceeded the $10 billion threshold in assets as of year-end 2013 and became subject to the Durban amendment as of July of this year. Our capital base continues to grow providing us with a continued ability to meet customer needs. Net income for the third quarter was $33.6 million, which represented earnings per share of $0.50. Our financial performance during the quarter produced return on average tangible equity of 13.7% and a return on average assets of $0.01. For the first nine months of the year, our net income totaled $95.5 million, which represented diluted earnings per share of $1.41, a 6% increase from this time last year. I would also like to remind you that our Board yesterday declared a quarterly cash dividend of $0.23 per share payable on December 15th to shareholders of record on December the 1st. Let’s look at the quarter in a little bit more detail. Looking at page four, as previously mentioned, we continue to experience solid growth in our legacy loan portfolio. At September 30th, loans held for investments totaled $6.3 billion, an increase of $147 million or 2.4% from the prior quarter and year-to-date an increase of $535 million or 12.3% annualized. Growth was broad-based by loan type as well as by market. Construction, land development and other land loans increased $49 million from the prior quarter; growth was driven entirely by commercial and residential construction primarily in our Texas, Mississippi and Alabama markets. The single-family mortgage portfolio expanded $44 million and was mainly due to growth in Mississippi and Alabama. Loans secured by non-farm, non-residential real estate increased $17 million as growth in owner-occupied real estate in the Mississippi and Alabama markets were offset impart by declines in the Texas, Florida and Tennessee markets. Other real estate secured loans which include multifamily projects, decreased $11 million reflecting reductions primarily in Trustmark’s Mississippi and Tennessee markets. Our consumer lending portfolio grew $3 million, primarily from growth in our Mississippi, Alabama and Texas markets. Commercial and industrial loans remained steady as growth from the Alabama and Tennessee markets was offset by reductions in Texas, Mississippi and Florida. Other loans which include lending to states and municipalities, non-profits and REITS, grew $48 million during the quarter as a result of growth in Mississippi, Alabama and Tennessee. At quarter end, loans held for investments and acquired loans collectively totaled $6.9 billion, an increase of $92 million or an annualized rate of 5.6% from the prior quarter. Year-to-date, our loans held for investments have increased $535 million or 12.3% annualized. Our loan growth has been diverse, both in terms of geographic markets as well as loan types; and we'll be glad to provide more information during the Q&A portion of the call. Turning to page 5, we continue to be pleased with the performance of our acquired loan portfolio. At September 30, acquired loans totaled $592 million, a decrease of approximately $55 million from the prior quarter. During the third quarter, the effective yield on acquired loans was 9.34% while recoveries on acquired loans totaled $8.9 million. As a result, the total yield on acquired loans was nearly 15% for the quarter. Excluding any settlement of debt, we would anticipate acquired loan balances to decline by about $70 million by year end. Based upon existing cash flow estimates, we anticipate the yield on acquired loans to be in the 7% to 8% range in the fourth quarter. And as a reminder, this yield does not include any potential recoveries. Now turning to slide 6. Please note that these credit quality metrics exclude acquired loans and other real estate covered by an FDIC loss-share agreement. At September 30th non-performing assets totaled a $185.4 million, a 4.1% increase from the prior quarter. When compared to one year earlier, this was the $4.4 million or 2.3% decrease. Driving the quarterly increase were two self standard credit relationships migrating to non-accrual status. Other real estate totaled $97 million, a decrease of $9.9 million or 9.3% from the prior quarter. Compared to this time last year, this portfolio decreased $19.3 million or 16.6%. The $3.1 million of provision for loan losses for loans held for investments include this specific reserve related to two credit relationships that migrated to a non-accrual status as I mentioned earlier. During the third quarter, recoveries exceeded charge-offs resulting in a net recovery of $428,000. The allowance for loan losses totaled $70.1 million and represented 1.2% -- 1.26% of commercial loans, 0.69% of consumer and home mortgage loans and 178.81% of non-performing loans excluding impaired loans. Turning now to slide 7, during the third quarter, average noninterest-bearing deposits increased $98 million, while average interest-bearing deposits declined $302 million, which was due mainly to a seasonal decline in public finance. Noninterest-bearing deposits represented 29% of our average deposits, while interest-bearing deposits comprised the remaining 71%. Looking now at slide 8, during the third quarter, revenue remained stable at a $149.1 million despite a reduction of $2.6 million in bank card and other fee income. As I mentioned previously, we became subject to the Durban amendment on July 1st of this year. Net interest income for the third quarter totaled $110.1 million, up $906,000 from the previous quarter. As you know, there are two components that make up this number. Net interest income on acquired loans remained stable at $23 million. Excluding acquired loans, net interest income totaled $87 million, a $1 million increase relative to the prior quarter due to increased loan balances. For the third quarter, the net interest margin totaled 4.14%, down 7 basis points from the prior quarter due to the current interest rate environment and increased competition, both of which are reflected in the decline in yield on loans that are held for investments and held for sale. Excluding acquired loans, the net interest margin for the third quarter totaled 3.47%. Based upon the current interest rate environment, we would expect the net interest margin excluding acquired loans to remain relatively stable during the fourth quarter. Noninterest income decreased $1.2 million to total $42.9 million for the third quarter mainly due to the implementation of the Durban amendment, which affected interchange fee income as of July 1st. Insurance revenue for the third quarter totaled $9.2 million, an increase of $940,000 or 11.3% from the prior quarter and was mainly due to increased property and casualty business. At quarter-end, service charges on deposit accounts totaled $12.7 million, an increase of nearly $900,000 or 7.6% from the previous quarter due impart to seasonal factors. Wealth management revenue totaled $8 million for the quarter, up $328,000 from the prior quarter due to the increased sales within investment services and expanded revenue from brokerage sales and trust management. Mortgage banking revenue for the third quarter totaled $5.8 million, a decrease of $349,000 from the previous quarter and was due mainly to a decline in the fair value of mortgage loans held for sale. For the third quarter, mortgage loan production totaled $345 million, an increase of $23 million or 7.2% from the previous quarter and was due to multiple factors; seasonality, lower mortgage rates and expanded originations in our Alabama markets. Turning to slide 9, noninterest expense in the third quarter totaled $100.2 million excluding ORE and intangible amortization of $3.1 million. Noninterest expense remained relatively flat at $97.1 million. For the third quarter salaries and benefits expense remained well controlled and totaled $56.7 million. Services and fees were unchanged at $14.5 million. Equipment expense declined $461,000 or 7.5% from the prior quarter. ORE foreclosure expense declined $2.9 million from the previous quarter to total $930,000. The efficiency ratio improved to 62.8% and we are committed to making additional improvements, both on the revenue and expense side of the equation. Slide 10, Trustmark continues to maintain a solid capital position. We use these capitals for both organic and acquisitive growth and to pay cash dividends to our shareholders. Our solid capital base is well positioned to meet the needs of our customers and create value for our shareholders. Even with sizable loan growth, our capital levels have continued to increase. Our tangible common equity ratio was 8.67% at September 30, 2014, while our total risk-based capital ratio was 14.7%. Turning to slide 11, we have a number of strategic priorities to enhance shareholder value, profitable revenue growth generation. This is our primary focus, finding more ways to create and expand customer relationships. Process improvement and expense management: We recently appointed an 18 year Trustmark veteran Jim Outlaw as Chief Administrative Office. As you may recall, Jim has most recently served as a Chief Operational Officer of our Texas operation and prior to that was our Chief Information Officer. Jim's proven leadership and broad experience both in the frontline and in the backroom will support our efforts to streamline processes to improve efficiency and profitability across the organization. We will continue to endeavor to utilize technology to become more efficient and manage the cost of doing business, while ensuring we provide competitive array of products, services, and delivery channels. Leveraging existing infrastructure investments: Over time, we’ve made investments in our infrastructure including technology. As we stand today, Trustmark has the infrastructure to support a significantly larger bank; and we will leverage our investments to drive continued, consistent, superior profitability as we continue to grow. Credit quality: We must continue our sound underwriting and review processes. We are also focused on resolution of problem assets acquired via acquisitions. Effective risk management: There have been a tremendous amount of new regulations placed on the banking industry and we’ve made a lot of progress to-date and continue to work for ensuring our enhanced risk management processes help us to more effectively manage our business. Mergers and acquisitions: Banking is increasingly becoming a business of scale. Going forward, we will continue to use M&A as an opportunity to complement internal growth and expand into additional attractive markets. We are proven acquirers having successfully completed 11 transactions since 2000. Rest assured, we will be patient and disciplined in the process to ensure that we create long-term value for our shareholders. I’d like to thank you for being with us today. And at this time, I’d be happy to take any questions.
Operator: We will now being the question-and answer-session. (Operator Instructions). The first question comes from Catherine Mealor from KBW. Please go ahead.
Catherine Mealor - KBW: Good morning everyone.
Gerry Host: Good morning Catherine.
Catherine Mealor - KBW: Sticking to the acquired yields a little bit; they’ve come in above the projected 8% to 9% level for the past couple of quarters. And I know you continue to give guidance on what you believe just the underlying yield will be without those recoveries. But how should we think about your ability to continue to see elevated recoveries coming in from the BTFG portfolio just from what are you seeing in terms of trends and the health of that portfolio versus the credit mark right now?
Gerry Host: Catherine, thank you for the question. As you would imagine, projecting the return on the revenue on the acquire yield portfolio is a bit challenging. The work that was down to create the mark occurred over 18 months ago. And as you know, the economy has improved. Barry Harvey and his team along with lenders in the field have worked that portfolio aggressively. I’m going to ask Barry to talk in a little bit more detail about how the portfolio has performed and maybe give a little thought about what we see here in the near future.
Barry Harvey: Sure. Catherine, I think what we've seen for this year so far is that the first three quarters have been extremely strong in terms of the recoveries. As far as looking forward into the fourth quarter and into ‘15, obviously we’re going to begin to see a slowdown in the dollar amount of the recoveries; we do foresee recoveries in the fourth quarter. We continue to see recoveries into 2015, although they’re going to be at a slower pace than what we experienced thus far in 2014. The larger credits, credits with the larger marks, a lot of those have been worked through, there is still some to be worked through. We’re working through all the credits as quick as we can and in a prudent manner trying to maximize the return for the bank looking through those that have opportunities for recoveries, as well as those that don’t just to make sure that we’re getting to the portfolio as fast as we can to reduce the amount of criticized and classified and other major step we look at from regulatory perspective. So, we do expect to continue to see recoveries in the fourth quarter and then obviously in ‘15 is going to continue to slowdown from what we experienced in the first three quarters of 2014.
Catherine Mealor - KBW: Hey, that’s helpful. Thank you. And then maybe as a follow-up on OREO, the lower OREO concentrate we’ve seen, but how sustainable is this level than below the $1 million quarter mark especially given that you still got about $93 million in OREO balances in your balance sheet? And within that, do you think there is -- do you have any thoughts in considering strategy in accelerating disposition of your NPLs or OREO to try to get that balances down further and maybe at more quicker pace? Thank you.
Barry Harvey: Sure. And we cautiously are visiting with the various asset buyers across the country talking to them about what the values are and reassessing the value passing them information getting it back and determine what’s the appropriate thing to do for the bank. And thus far as you’ve indicated, we’ve continued to work credits internally, I think it’s been beneficial for the bank. Our cost security is very low and we’ve got some very good people work in the credits and moving to it pretty quickly. One of our challenges was when we have the acquisition of BancTrust, we kind of reloaded into our ORE quite a bit $44 million at the time and we've had a numerous property term loans that we foreclosed on since we acquired the bank. So, it's been a battle to continue to work that ORE number down, we'll continue to do so. At this point, based on the data we get back from the third-parties, we still feel like it's prudent to work through these properties or sales, but at any point in time, we can make a determination that the market has got attractive enough to where we could sell into. But at this stage, we plan to continue to work on. As far as the level of ORE expense that we had in the third quarter, obviously that's a reflection of one large recovery we had, really two recoveries we had that totaled up to about $2.2 million. So having said that, we do have several properties in ORE that we have under contract today, some that we’ll close in the fourth quarter, some that we'll close in 2015 assuming they do close that would also result in a nice recovery. So, while we don't, we take plan for the recoveries, there is some uncertainty around them. We do anticipate there are some recoveries to continue to occur fourth quarter and into ‘15. But as far as the run rate, I think you better looking at what we’ve historically had in the prior three or fourth quarters. And then partly anticipating some form of recoveries to go along with that in terms of gain on sale.
Catherine Mealor - KBW: Thanks for the color. I appreciate it.
Operator: The next question comes from Kevin Fitzsimmons from Hovde Group. Please go ahead.
Kevin Fitzsimmons - Hovde Group: Hey, good morning guys.
Gerry Host: Good morning Kevin.
Kevin Fitzsimmons - Hovde Group: Just to touch on the spread income question again. So, a number of moving parts we have the recoveries which admittedly are very tough for you or us to forecast quarter-to-quarter, but you guys are saying it’s probably going to be a slower pace in fourth quarter and as you go through 2015. The scheduled accretion income, I think what your guidance is giving that’s going to step down overtime. So, well it’s been fairly stable these past two quarters that’s going to inevitably decline. And the core margin, you’re saying it’s going to remain stable and you’ve had good loan growth. So, putting all those moving parts together, do you have like a point in time when you’re going to get that inflection point of being able to really -- because we think the initial move on NII, total NII would be down, but is there an inflection point where the loan growth and the stable margin is enough to stabilize it and stop growing total NII? Thanks.
Gerry Host: Difficult to project and I’ll ask Tom Owens to also comment on this. But breaking those three parts, Kevin, let’s look at loan growth; loan growth has been very positive for the year. There are a number of loans that have been booked primarily in the construction real estate portfolio that have begun the build out process, but are using owner equity. At this point and we’ll begin to fund up later this year and early next year. You’re looking at the pipeline; the pipeline of loans continues to look healthy, as we mentioned both throughout the footprint, as well as by tight. So from that standpoint, we feel -- we have a very positive feel from the standpoint of the recoveries as Barry mentioned that is something we do anticipate will slow as that acquired yield portfolio comes off, but very difficult to project. From the standpoint of the earnings on that acquired yield portfolio, also very difficult to project but has been very steady in terms of the acquired loan yield. And it's something that we feel will more likely hold up for several more quarters. As far as the margin overall, again our guidance has been stable. There are some components of that that are somewhat seasonal. The margin is not linear. It incorporates fees which were hired during the second quarter versus the third quarter and I think that represents some of the differences there. Having said that let me ask Tom Owens, our Treasurer, to add some additional color relative to the overall margin.
Tom Owens: Well, thank you Gerry. I’m not sure what I would add to that. That's a pretty good explanation. But Kevin as you said it up; I mean there are a lot of moving parts. And as Gerry said, we continue to believe that robust loan growth will outpace any compression in our core net interest margin that we do expect for the foreseeable future for net interest income to continue to go up. Gerry talked a little bit about the volatility of loan fees for example. When you look at core net interest margin declining from 355 in the second quarter to 347 in the third quarter, I can tell you there is just some natural volatility to loan fees in any given quarter. And it just so happens that second quarter we were sort of at the high-end of that range of volatility and in the third quarter at the low end of the range. So, I would say in the same way that I would say would have been a mistake to extrapolate forward the increase in net interest margin in second quarter; I would say it would be a mistake to extrapolate forward the decrease in the third quarter in particular, the decrease in the loan yield on the loans held for investment portfolio. Hopefully that helps. Do you have any follow-up questions on that?
Kevin Fitzsimmons - Hovde Group: No, that’s helpful thank you. Just one quick follow-up on the expense run rate, you guys have done a nice job keeping that your core expenses ex OREO and amortization pretty steady. But in past quarters Gerry, you’ve talked about the need to step up spending and investments for things like systems and compliance and stress testing, and you mentioned looking for things to mitigate that. Are we -- are those investments made at this point or are they still lying ahead of you a fair amount of them and just and if you could characterize it how we should look at that expense run rate going forward? Thanks.
Gerry Host: I’ll comment then let Louis also provide his thoughts. Kevin, we have for the last four years continually made investments in technology and process improvements. So, a front-end system in the retail side of the bank, new asset liability system and new general ledger system and new HR system, a new database management system and Louis can go on with others, with significant increases in technology. If you look at our run rate on technology, it has increased steadily every year. Offset, we're trying to find ways to become more efficient and to adjust our delivery channels. Two years ago, we put in $7 million worth of new ATMs with deposit capture technology that can take us even further as we simply reprogram those machines. So, there has been a lot of ongoing expense, both from those technologies that improve the customer experience with us as well as technologies that allow us to deal with the regulatory environment we’re in and ways that we can make the company more efficient, all designed for a larger organization than we have been in the past. So, the expenses have been ongoing. There have also been significant expenses associated with enterprise risk management, with DSA and other compliance areas and with DFAST. I think we've already incurred many of those expenses as they relate -- and many of those are non-recurring, because they’re consultants that we've had in the company. And we've just worked diligently to control other expenses, so that we could pay for these things we know we needed to do going forward. Going forward and in my comments, I talked about bringing Jim Outlaw back from Texas. First of all, we backfilled with Spence Bridges as our President in the Texas market is an experienced lender and manager. He has been with the company for 20 years and out in Texas for the last 8 years. We brought Jim Outlaw back simply because he is someone that for now eight years has experience being out in the field in one of our more active markets, but prior to that had run the technology and operations side of this company. We brought Jim back to look at the company holistically in terms of how it operates. To look at all of these investments we’ve made and to come up with ways to make us more efficient. And from that process we believe we’ll -- we can reduce additional costs, so longwinded answer to your question. Louis, if there is anything you can add please do.
Louis Greer: Gerry, I don’t think I can add anything, but I think just back to -- that you mentioned we leveraged up the company to be able to grow to the next level. I will mention that all those expenses are in current run rate. And I do expect us to maintain that core run rate at $96 million, $97 million in the fourth quarter. But I will mention, although we’ve added resources for the past and leveraging up going out to the $10 million, we have reduced our headcount on it fee bases based on 43 sales offset some of that. So we’re managing expenses very diligently.
Gerry Host: We’ve reduced headcount 43 overall, we’ve actually increased headcount by over 30 in compliance-related areas of the company. That’s all you wanted, Kevin?
Kevin Fitzsimmons - Sandler O’Neill: No, that was actually perfect. Thank you very much, great.
Gerry Host: Thank you.
Operator: The next question is from Michael Rose of Raymond James.
Michael Rose - Raymond James: Hey, good morning guys. How are you?
Gerry Host: Hey Michael, how are you?
Michael Rose - Raymond James: Hey just to follow-up on the expense question, I know previously you talked about tangible efficiency ratio. Do you guys have a target for that over the next year or two maybe on both the reported basis and then maybe on a core basis ex the purchase accounting accretion?
Gerry Host: Overall the target will be to get that efficiency ratio down below 60% specifically. That number we don't know ourselves until we've had an opportunity to kind of evaluate what are the processes that we can change given the technology we've added. How do we change our process to become more efficient, both from an additional capacity standpoint without adding people or from the standpoint of looking at reducing headcount where we can.
Michael Rose - Raymond James: Okay. That's helpful. And then as a follow-up question you guys have had pretty good growth in Texas more recently. Any impacts or slowdowns from the lower ORE prices that you're seeing or anything else that we should be considering as you think about Texas? Thanks.
Gerry Host: Thank you. From the standpoint of lower ORE prices, we are not foreseeing a significant impact. Much of the focus that we have in Texas are real estate related, healthcare related not so and normal C&I business is not a specific direct concentration in the energy market. However, we're not naïve to the fact that ORE drives a lot of overall economic activity, but from what we can see the market is far more diverse than it has been in other economic scenarios. And certainly, we have looked at potential exposures, feel comfortable with where we are and continue to see very robust economic activity in that market and we have not adjusted our forward projections because of the recent drop in oil prices. Barry, anything you want to add?
Barry Harvey: The only thing I would mention Gerry is that as you have stated, we don’t really have many companies that have a lot of commodity exposure that’s not hedged off. Most of our energy related exposure is to trans-forwarding; in those situations they’ve got whatever exposure they may have they’ve got it accounted for so then really impact the ongoing operations and more in line with our traditional C&I company. But also a lot of our growth is really not coming out of at least this quarter is not coming out of the Texas market. So I think that’s something that’s very positive in terms of the contribution of Alabama’s 44% of our growth this quarter and then we’ve got growth in Mississippi and some other markets. So, we do have a very dynamic market that we’re working hard in, in the Houston market but we do have other markets that are growing as well. So, we really don’t see a lot of energy exposure to the drop in oil prices; in same respect we do see ourselves as having a pretty diverse portfolio in terms of where our loan growth is coming from.
Michael Rose - Raymond James: Okay. Thanks for the color, I appreciate it.
Operator: The next question is from Emlen Harmon with Jefferies. Please go ahead.
Emlen Harmon - Jefferies: Good morning.
Gerry Host: Good morning, Emlen.
Emlen Harmon - Jefferies: You gave us for the recoveries on the interest income side, would you be interested to address that from the credit side of things and the held for investment portfolio? But just kind of what's the outlook for recoveries running through charge offs and kind of what would you consider a sustainable rate as we head out over the next few quarters here?
Barry Harvey: This is Barry. I'll go ahead and start on that. So, at this point, in our loan loss reserve and our quantitative part of our reserve, we have a 12-quarter rolling average. The quarters rolling off will be the ones from 12 as we move into next year. We really don't have a lot of large quarters worth of losses that we will be rolling off as we have historically. So, all things considered, the provisioning required should be fairly flat depending upon what happens with the existing portfolio in terms of its performance. So, in the past, we've had a pretty big headwind in terms of historical losses rolling out of our reserve, resulting in releasing of reserve, unless it was needed otherwise. That trend is pretty much finish up with ‘14; in ‘15 it will pretty much be the direction of our credit quality is going to drive, both the charge-offs as well as drive the provisioning. So, at this point, we're expecting very modest charge-offs going forward and very modest provisioning going forward. Of course all that will change over time as the economy changes.
Emlen Harmon - Jefferies: Got you, okay. Thanks. And then just a follow-up on a non-acquired loan yield and the compression there this quarter, you had mentioned that fees were one component of that. Could you just quantify for us as how much of an impact that was? And I think you mentioned one other area impacting the yield there, if you could give that to us again, that would be helpful. Thanks.
Tom Owens: Yes, this is Tom Owens. And so, if you look at like the trailing five quarters for example, you would see the loan fees, natural volatility is about 10 basis points or so. So my point there was that during the second quarter sort of with the high end of that range. So about 10 basis points what you see that decline in loan yield is really attributable to natural volatility in loan fees. The other fact just sort of how the math works is day counts when we calculate the yields. The third quarter had 92 days and the second quarter had 91 days. And so when you do the math, you find that that’s worth a few basis points as well. So well more than half of climb in that held for investment loan yield, I would describe as noise sort of natural volatility.
Emlen Harmon - Jefferies: Got it. All right, thanks.
Operator: (Operator Instructions). Our next question is from Brad Milsaps from Sandler O’Neill. Please go ahead.
Brad Milsaps - Sandler O’Neill: Hey, good morning.
Gerry Host: Good morning, Brad.
Brad Milsaps - Sandler O’Neill: Most of my questions have been addressed, but just wanted to ask on the acquired book. I appreciate the guidance on about another 70 million or so in pay-offs. I guess that book started at about 1 billion. Where do you kind of ultimately see that sort of flattening out? And then secondly, do you have a sense if any how much of these pay-offs are actually going back into your guys portfolio in terms of the HFI book, just to kind of get a sense kind of where some of those loans are going?
Barry Harvey: This is Barry; I’ll go ahead start on that. I guess the answer to your second question first. There was approximately of the $146 million that we grew during the third quarter, $10 million of that was going to be loans either in Alabama or Florida that were on the acquired portfolio and that we have reworked the credits. We have additional gain tours; additional collateral complete re-underwriting of the credit and for something that underwrites any other credit would in a regular course of business we have proved it and it moved over to the non-acquired portfolio. So it's just $10 million of the $146 million that we grew actually migrated over. As far as the other aspect of it, what we anticipate on the acquired portfolio is a continued working of the problem loans and either for some type of rehabilitation or walking them to the door from the standpoint of foreclosure process instead on a data or something of that nature. Those things are fairly theoretic and therefore they kind of think about some noise. Then we've got the side of the equation on the past credits. We'll continue to try to grow those relationships and expand them. There will be some natural pay downs and pay-offs just through amortization. So, the portfolio will continue to trend down in a normal matter because all the new bookings are going to course to only non-acquired side. And so we will continue to pay down through just amortization with the exception of the final resolution of some of these credits, which will be a little lumpy, which will cause the acceleration of the downward movement.
Brad Milsaps - Sandler O’Neill: Okay, great. Thank you.
Operator: The next question is from Steven Alexopoulos with JPMorgan. Please go ahead.
Preeti Dixit - JPMorgan: Hi. Good morning everyone. This is actually Preeti Dixit on for Steve. Just to follow-up on the questions on the loan yields. Could you give us some color on what new money loan yields are and the various loan buckets? And then given the mix of new loan growth that you’re seeing, what’s your outlook for that core loan yield pressure to bottom outside Illinois in the fees which you gave us a lot of color on?
Gerry Host: I’ll ask Barry to take that and then Tom can jump in here.
Barry Harvey: When we look at it from approval process, we have a very robust pricing model that focuses on ROE and that’s kind of how we judge things because there is a lot of components to the pricing aspect and therefore we’re looking at it from an ROE perspective as our hurdle and then when we’re below that we make sure that we’ve got proper eyes on it making those exceptions special on the larger deals. One thing that we did in the third quarter, we did take note of the fact that about 43% of our new bookings were fixed rate, about 57% were variable which to us is very encouraging. We’re very careful about going out for long-term fixed rate loans. We will not prefer to be on a 3 year 5 year term there with the 15 to 20 year on a real-estate deal. So, we try to be very selective and mostly reserve those long-term fixed rate financing where we have to for long-term existing customers. Tom, you want to add something to that?
Tom Owens: Yes. I would just say that if you’re looking for guidance, we’ve talked about sort of a natural volatilities and noise in the yields, but in terms of the dynamic of commitments that we approved and then fundings that come on and how that’s really impacting the core call it the coupon on the portfolio. I think it’s reasonable to assume that you might have say 3 to 5 basis points of compression in the actual core portfolio coupon say quarter-to-quarter, but at the same time, the yield on the investment portfolio has been increasing by just call a couple of basis points a quarter. So, when you hear us and of course loans are about two-thirds of earning assets, investments are about one-third of earning assets. So, when you hear us talk about relatively stable net interest margin, that's why. But again you add that up and net of those two things is yes, any given quarter you could be looking at a few basis points compression in net interest margin. But again, I'd reemphasize the point that the strategy is to continue to grow loans. And at the pace we're growing loans; that growth in earning assets is going to trump any decline in net interest margin, so that you should expect net interest income to continue to increase.
Preeti Dixit - JPMorgan: Okay, that's actually really helpful. And then switching gears, sorry if I missed this. But could you just provide some color on the nature of the two loans that moved into non-accrual status this quarter and then how much of these then bring down our reserve dig out at this point?
Gerry Host: Yes, Barry would be happy to do that.
Barry Harvey: Okay. On the two loans question that you told of about $16 million as of the balances on 9/30 migrated into non-accrual, both loans were our long time customers with the bank, been substandard for a reasonable period of time. One of their credits was actually a bankruptcy, so they are obviously, it moved to non-accrual, the other one was different set of circumstances and it moved to non-accrual as well. What we did was, we did an impairment analysis on the loans to determine based upon what we know today in terms of the value of the company’s assets. And we've done that analysis while we ordered obviously updated values; we've done the analysis based on the values we have today in our interpretation of those. And we have added specific reserves to both of them totaling a little over basically $3.1 million worth of specific reserves. For that reason, had we not had those two loans migrate into non-accrual, we would have actually had no provision for the quarter. And we feel like that the reserves that we’ve established, both through our pool accounting, our pool reserve accounting and then that calculation plus the specific that we added to it, we’ve been very comfortable that we’re well reserved on both of those credits probably for -- to a conservative extent at this point, but like I said we’ve ordered updated values on all of the assets of both companies, will be getting those then during the fourth quarter. If there is a need to kind of true that up a little bit, we can do so then.
Preeti Dixit - JPMorgan: Okay. I appreciate all the color gentlemen. Thank you.
Gerry Host: I guess the other thing, let me just add to this. The other thing is we consider these two unique situations, not really anything that relates to economic change or a change in the particular industry that these two loans are involved in but are two unique situations.
Operator: The next question is from Dave Bishop of Drexel Hamilton. Please go ahead.
David Bishop - Drexel Hamilton: Hey, good morning gentlemen.
Gerry Host: Good morning, Dave.
David Bishop - Drexel Hamilton: Hey. Turning to the fee income side of the house here, I think you know that there is some seasonal increase on the deposit service line. But obviously you guys are putting a (inaudible) on the expense side; any initiatives out there to drive fee income growth higher here specifically to offset the Durbin impact?
Gerry Host: I think we face the challenge as just about every other bank in the country does as any bank over 10 billion. So yes, we are looking at various options as they related to customer deposit base. We are continuing to put focus on resources and efforts in the wealth management area as well as the insurance areas to help offset. Obviously the mortgage area which is another fee income producer is an area that has slowed over the last couple of years because of what's going on in the housing market. But that business remains still very viable and very profitable. And as we noted, we saw a 7% increase in volumes this last month, primarily due to drop in rates. We would anticipate that we should have another good month in the fourth quarter there. So answer to your question, there are no quick solutions but we feel good about the fact that that in our first quarter, under Durbin we've been able to effectively offset those losses in revenues. And we'll continue to look for new ways to do it with our existing customer base.
David Bishop - Drexel Hamilton: Great. And then on the funding side, a little bit of shift here in the funding this quarter using some borrowings rather than deposits with run off there; anything so far going on there in terms of the outlook of loan funding, or was this some sort of timing impact just curious how you're approaching that?
Gerry Host: We'll let Tom Owens answer that.
Tom Owens: So what you're seeing for the year essentially is loan growth outpacing deposit growth by a few hundred million dollars. As you know with our loan to deposit ratio up 70% or so, we have ample room to continue that trend going forward. So, we're just at a point in fact where we have ample liquidity and we're very comfortable with that trend going forward into 2015. Obviously there comes a point at some point in the future where we might hesitate a little bit trying to do some things on deposit side and/or choose to allow the investment portfolio to run down a little bit. But from a liquidity funding standpoint, we’re in great shape and very comfortable and there is no change in philosophy or plan at this point.
David Bishop - Drexel Hamilton: Great, thank you.
Operator: The next question is from Blair Brantley from BB&T Capital Markets. Please go ahead.
Blair Brantley - BB&T Capital Markets: Good morning everyone.
Gerry Host: Good morning Blair.
Blair Brantley - BB&T Capital Markets: I just had a couple quick questions; most of them have been answered or asked and answered. The Durbin impact, does that come in line with your expectations?
Gerry Host: Yes, it was right on target.
Blair Brantley - BB&T Capital Markets: Okay. Just want to make sure about all you guys have mentioned about a $7 million impact obviously…
Louis Greer: Blair, this is Louis. I think we disclosed in our last quarterly filing with the SEC we’ve been at the range of 9 to 10 course. You analyze that two profitable quarter. This write a little bit over 10, so I think we hit right on the mark.
Blair Brantley - BB&T Capital Markets: Okay, great. And then secondly, could you guys just give us an update in terms of M&A what you look for size parameters, geography things like that?
Gerry Host: Our focus, the M&A environment overall seems to be a few more banks out there that are interested in partnering with companies that they feel comfortable with. As far as our target, we have defined that we’re looking for banks in the Southeast that will fill in gaps in our footprint or complement existing footprints to provide a higher market share. We continue to look size wise at banks that are in the $300 million to $3 billion size range. So, as we’ve noted before, we have to be patient. We’re going to look to do transactions that best fit our shareholders’ long run are cognizant of the dilutive impact of overpaying. And so you stay at it and as the opportunities arise, you take advantage of. I mean that has been our philosophy, that's how we've grown and we are not changing that philosophy.
Blair Brantley - BB&T Capital Markets: Do you have a preference between something that maybe has some more hair on it versus some of the healthier sellers that we’re seeing today?
Gerry Host: We have done both over time. And if you mean having hair on meaning that the bank have some problems that we can correct, I would say that we’ve proven on some of the previous more recent acquisitions at bank that had had hair problems associated with the downturn in the economy. As we've talked in great length about the acquired loan portfolio and the benefits that we drive, those certainly present opportunities. The other side of that is that most banks have improved in terms of their health, in terms of their credit portfolio. Those opportunities aren’t as great. And we've also shown that we can take well run organizations, incorporate them into ours. So, look at the big picture, but we don't have a preference one way or another.
Blair Brantley - BB&T Capital Markets: Great. Thanks guys.
Gerry Host: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Gerry Host for any closing remarks.
Gerry Host: Thank you, operator and thank you all for joining us today. And we feel like we've had exceptionally good quarter at $0.50 a share. We will continue to operate this company, keep it moving, keep it growing so that provides great return for shareholders over the long run and that's how we look at this company. And so we appreciate very much your interest and look forward to the fourth quarter call in early January. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.